Operator: Hello, and thank you for standing by. Welcome to Ooma's Third Quarter Fiscal Year 2025 Financial Results. [Operator Instructions] I would now like to hand the conference over to Matthew Robison. You may begin.
Matt Robison: Thank you, Towanda. Good day, everyone, and welcome to the fiscal third quarter 2025 earnings call of Ooma, Inc. My name is Matt Robison, Ooma's Director of IR and Corporate Development. On the call with me today are: Ooma's CEO, Eric Stang; and CFO, Shig Hamamatsu. After the market closed today, Ooma issued its fiscal third quarter 2025 earnings press release. This release is also available on the company's website, ooma.com. This call is being webcast live and is accessible from a link on the Events and Presentations page of the Investor Relations section of our website. This link will be active for replay of this call for one year. During today's presentation, our executives will make forward-looking statements within the meaning of the federal securities laws. Forward-looking statements generally relate to future events or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize and actual results are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release we issued earlier today, and those risks more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on information available to us as of the date hereof, and we disclaim any obligation to update any forward-looking statements except as required by law. Please note that other than revenue or as otherwise stated, the financial measures to be disclosed on this call will be on a non-GAAP basis. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute prepared -- for results prepared in accordance with GAAP. A discussion of why we present non-GAAP financial measures and a reconciliation of the non-GAAP financial measures discussed in this call to the most directly comparable GAAP financial measures is included in our earnings press release, which is available on our website. On this call, we will give guidance for the fourth quarter and full year fiscal 2025 on a non-GAAP basis. Also, in addition to our press release and 8-K filing, the Overview page and Events and Presentations page in the Investors section of our website, as well as the Quarterly Results page of the Financial Information section of our website includes links to information about cost and expenses not included in our non-GAAP values and key metrics of our core subscription businesses. These are titled Supplemental Financial Disclosure 1 and Supplemental Financial Disclosure 2. Additionally, our investor presentation slides include GAAP to non-GAAP reconciliation that also provides resolution of GAAP expenses that are excluded from non-GAAP metrics. Now I will hand the call over to Ooma's CEO, Eric Stang.
Eric Stang: Thanks, Matt. Hi, everyone. Welcome to Ooma's third quarter fiscal year 2025 earnings call. Thanks for joining us. Q3 was a great quarter for Ooma, not only financially, but also competitively. I look forward to sharing our results, including two very significant new customer wins we secured in Q3. These new customer wins build on our big wins from Q1 and Q2 of this year and have us excited as we look forward. Financially, we exceeded expectations in Q3, achieving $65.1 million in revenue, $4.6 million in non-GAAP net income, $5.7 million in adjusted EBITDA and $8.1 million in cash flow from operations. Each of these is a record result for Ooma. On the strength of our $8.1 million in cash flow from operations, we paid off the remaining debt on our credit line shortly after the end of Q3 and are now debt-free. Over the last 12 months, we have paid off $18 million of debt and also bought back $5.2 million of our stock for a combined $23.2 million. Strategically, our efforts to improve operating expense leverage, given the strong product solutions we have built and the synergies afforded by our 2600Hz acquisition are starting to take hold. Looking forward, we believe we can both execute our growth strategy and drive further operating leverage with further improvement in bottom line results in the coming quarters. Ooma Business contributed 62% of total revenue in Q3, up from 58% a year ago. Within Ooma Business, Ooma Office, our UCaaS solution for Main Street businesses and a significant component of Ooma Business revenue performed well in Q3. We launched new customer engagement features, including one-to-many messaging and a website widget for our customers to allow their customers to create online bookings, and we continue to promote our caller info search, messaging templates, expanding set of integrations and more. Our strategy to enable more advanced features in our premium tiers helped to drive the percentage of new users taking a premium tier in Q3 to 60%. It also helped secure a growing number of larger-sized customers in Q3 as we work to expand the market opportunity for Ooma Office. Regarding AirDial, our solution for POTS replacement, we believe the market is heating up and that contributed to a step-up in sales for us in Q3. We learned in Q3 that a large carrier and provider of copper lines is once again implementing price increases. The pricing of copper lines is, of course, a key driver in customers' decision-making to take action and replace them. We also noticed late in Q3, a several fold increase in the number of announcements for copper lines to be shut down in the coming months compared to prior periods this year. Market momentum in combination with our marketing, partner development and expanding product features helped us achieve our best quarter yet and significant growth quarter-over-quarter for AirDial. We signed several larger customers in Q3, including a couple that we expect will surpass 1,000 lines each. On the partner front for AirDial, we have some very significant news to share. I'm very pleased to report that a top-tier national cable company has chosen to resell AirDial. To our knowledge, we are the only provider they are working with at this time, and they want to launch as quickly as possible, which we expect will be in calendar Q1. This is significant because of the large size of this partner, and there are many existing business relationships. It is our understanding that their business strategy encompasses bringing broadband to Businesses and moving communications to the Internet. And now with AirDial, they can move the remaining copper lines, which until now were not easily handled. Our partnership gives them a way to continue to take share from other major national carriers who they view as competitors. As you can tell, this is a major win for us and a partner that represents huge potential. I also have a second significant new partner win to share with you. I'm pleased to report we signed an aggregator/CLEC to resell both AirDial and Telo. You'll recall that we now believe there is also a sizable opportunity in the residential space for POTS replacement, and we believe our Telo solution is ideal for this market. We're thrilled that this aggregator has selected Ooma for both their business and their residential needs. Our understanding is this new partner primarily serves business customers and provides around 100,000 copper lines to businesses today. They also provide approximately 10,000 lines to residential customers. This partner has already launched earlier this month with Telo and will be launching soon with AirDial. I also want to give an update on our partnership with the large incumbent local exchange carrier that we announced last quarter. I can tell you now that this customer is Frontier Communications, which, of course, is one of numerous legacy regional carriers in the U.S. As you also likely know, Frontier and Verizon recently announced that Verizon intends to acquire Frontier. This development has affected Frontier's launch timing, which may now not be until Frontier can formally start their business planning with Verizon. We believe Frontier continues to view AirDial and Telo as their chosen solutions for POTS replacement and that longer term, we now also have the exciting opportunity to engage with not only Frontier, but also Verizon. Overall, I'm pleased to report we now have more than 20 total partners contracted to resell AirDial. We believe the two major partner wins we have shared today further validate our strategy to secure large carrier partners for both AirDial and Telo. It is our goal to add new AirDial resale partners each quarter going forward, and we currently have several significant discussions underway. Switching now to 2600Hz, which is our platform used by resellers to create their own solutions. I'm excited to point out our recent press release, which identified ServiceTitan as the large new customer we won two quarters ago. ServiceTitan is a $685 million revenue company providing end-to-end workflows for the trades. They recently launched their new Contact Center Pro solution, which utilizes Ooma 2600Hz for enablement. As we've discussed previously, we're thrilled to be working with this marquee customer and look forward to supporting them as they expand and grow their business. I will now turn the call over to Shig, our CFO, to discuss our results and outlook in more detail and then return with some closing remarks.
Shig Hamamatsu: Thank you, Eric, and good afternoon, everyone. I'm going to review our third quarter financial results and then provide our outlook for the fourth quarter and full year fiscal 2025. Our third quarter revenue was $65.1 million, solidly above the high end of our guidance range and was up 9% year-over-year, driven by the strength of Ooma Business, including better-than-expected revenue contribution from AirDial as well as addition of 2600Hz. During the quarter, we saw about half of IWG seat reductions we had forecasted for the second half of this fiscal year and expect additional reductions to occur in the fourth quarter. In Q3, business subscription and services revenue accounted for 61% of total subscription and services revenue as compared to 58% in the prior year quarter. Q3 product and other revenue came in at $5 million as compared to $4 million in the prior year quarter. The year-over-year growth in product revenue was primarily driven by growth in AirDial installations. On the profitability front, Q3 non-GAAP net income was $4.6 million, above our guidance range of $4.1 million to $4.3 million. Now some details on our Q3 revenue. Business subscription and services revenue grew 13% year-over-year in Q3, driven by user growth and the addition of 2600Hz. Excluding 2600Hz revenue contribution, business subscription and services revenue grew 7% year-over-year. On the residential side, subscription services revenue was down 1% year-over-year. For the third quarter, total subscription and services revenue was $60.1 million or 92% of total revenue as compared to $55.9 million or 93% of total revenue in the prior year quarter. Now some details on our key customer metrics. We ended the third quarter with 1,242,000 core users, which is slightly down from 1,244,000 core users at the end of the second quarter. The sequential decline in total core users was primarily due to the seat reductions with IWG I mentioned earlier. At the end of the third quarter, we had 504,000 business users or 41% of our total core users, an increase from Q2 as user additions for Ooma Office, Ooma Enterprise and AirDial offset the impact of IWG. Our blended average monthly subscription and services revenue per core user, or ARPU, increased 3% year-over-year to $15.14, driven by an increasing mix of business users, including higher ARPU Office Pro and Pro Plus users. During the third quarter, we continue to see a healthy Office Pro and Pro Plus take rate with 60% of new Office users opting for these higher-tier services, which was up from 56% in the prior year quarter. Overall, 33% of Ooma Office users have now subscribed to these higher-tier services. Our annual exit recurring revenue grew to $234 million and was up 4% year-over-year. Our net dollar subscription retention rate for the quarter was 99% as compared to 100% in the second quarter. Now some details on our gross margin. Our subscription and services gross margin for the third quarter was 72% as compared to 72% in the prior year. As a reminder, subscription and services gross margin for the third quarter this fiscal year included an impact of 2600Hz gross margin, which is ranged lower relative to Ooma's subscription gross margin. Product and other gross margin for the third quarter was negative 56% as compared to negative 73% for the same period last year. As anticipated, we saw a meaningful year-over-year improvement in product and other gross margin as we completed consumption of higher cost components we had procured during the pandemic. On an overall basis, total gross margin for Q3 was 62% as compared to 62% in the prior year quarter. The flat overall gross margin year-over-year reflects a heavier mix of product revenue this year, which was 8% of total revenue in Q3 due to an increase in AirDial installations, which offset the improvement in product gross margin. And now some details on operating expenses. Total operating expenses for the third quarter were $35.6 million, up $2.2 million or 7% from the same period last year. Excluding the impact of 2600Hz, the total operating expenses increased $0.9 million from the same period last year. Sales and marketing expenses for the third quarter were $17.5 million or 27% of total revenue and was up 4% year-over-year, primarily driven by higher marketing and channel development activity for AirDial. Research and development expenses were $12.1 million or 18.5% of total revenue, up 7% on a year-over-year basis, driven mainly by the addition of 2600Hz team members. G&A expenses were $6.1 million or 9% of total revenue for the third quarter compared to $5.3 million for the prior year quarter. The year-over-year increase in G&A expenses was primarily due to increases in personnel and audit-related costs. Non-GAAP net income for the third quarter was $4.6 million or diluted earnings per share of $0.17 as compared to $0.15 of diluted earnings per share in the prior year quarter. Adjusted EBITDA for the quarter was $5.7 million, another record for the company or 9% of total revenue as compared to $5 million for the prior year quarter. We ended the quarter with total cash and investments of $17.1 million. Cash generated from operations for the third quarter was strong and at $8.1 million, it was another quarterly record for the company. On a trailing 12-month basis, we generated a record $24 million of operating cash flow and $18 million of free cash flow, which represented 367% and 141% increase, respectively, over the same period a year ago. We paid down the debt by $5.5 million in the third quarter and reduced the outstanding debt balance to $3 million at the end of third quarter. Subsequent to the quarter end, we paid the remaining balance in full. And as of today, we have no debt outstanding. On the headcount front, we ended the quarter with 1,157 employees and contractors. Now I will provide guidance for the fourth quarter and full fiscal year 2025. Our guidance is on a non-GAAP basis and has been adjusted for expenses such as stock-based compensation, amortization of intangibles and certain nonrecurring gains and expenses. We expect total revenue for the fourth quarter to be in the range of $64.6 million to $65.1 million, which includes $4.5 million to $4.7 million of product revenue. We expect the fourth quarter non-GAAP net income to be in the range of $4.5 million to $4.8 million. Non-GAAP diluted EPS is expected to be between $0.16 to $0.17. We have assumed 28.1 million weighted average diluted shares outstanding for the fourth quarter. For full year fiscal 2025, we are raising both revenue and profitability outlook. We now expect total revenue of $256.3 million to $256.8 million. The full year fiscal 2025 revenue guidance assumes business subscription and services revenue growth rate of approximately 13% over fiscal '24, while residential subscription revenue to decline 1%. In terms of revenue mix for the year, we expect approximately 93% of total revenue to come from subscription and services revenue and the remainder from products and other revenue. As for non-GAAP net income, we now expect it to be in the range of $16.7 million to $17 million. Based on this guidance range, we estimate our adjusted EBITDA for fiscal '25 to be $22.1 million to $22.4 million. We expect non-GAAP diluted EPS for fiscal '25 to be in the range of $0.61 to $0.62. We have assumed approximately 27.6 million weighted average diluted shares outstanding for fiscal 2025. In summary, we are pleased with our solid Q3 results with record adjusted EBITDA and free cash flow and remain focused on executing to our long-term strategy to achieve profitable growth. I will now pass it back to Eric for some closing remarks. Eric?
Eric Stang: Thank you, Shig. It's our pleasure to report to you today on our strong Q3 results and our new customer wins. We see accelerating momentum for AirDial and also for residential POTS replacement and hope to continue to announce significant new resale partnerships in the coming quarters. We're also leaning in on 2600Hz given the capabilities of our platform and the market need to replace older aging solutions. And in UCaaS for smaller-sized businesses, we are seeing success moving upmarket and growing premium tiers of service. In addition, we believe we can deliver improved bottom line performance as we execute our strategy. We look forward to updating you on our progress as we capitalize on our growing community of partners. Thank you. We'll now take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Josh Nichols with B. Riley. Your line is open.
Josh Nichols: Yes, thanks for taking my question. Good to see some of the large partnerships announced for this quarter as well as the improving cash flow and margins. I'm just kind of curious on the 2600Hz. It seems initially when you made that acquisition expectations seem like relatively low, but you become increasingly optimistic about some of the long-term potential for that. I'm just kind of curious if you could kind of comment a little bit about what you're seeing in the market dynamics, and any benefit potentially from the planned sunset of Microsoft's - Metaswitch on that front?
Eric Stang: Yes. Hi Josh. Well, you're right. When we made that acquisition we justified it around synergies and full control of all the technology in Ooma. And since then we've really seen tremendous opportunities. We look forward and we're leaning in, as I said on my script, to capitalize on it. BroadSoft and Metaswitch both are older platforms that are not getting much investment today. Metaswitch, it's even one further they've announced Microsoft, who owns them, has announced that they're end of life parts of that platform. And so, there are carriers across the world who need to think about what their next solutions - what their next capabilities are going to be and how they get there. We estimate between 50 and 80 million users on those two platforms around the world. So it's really massive. I didn't get into it in my script, but I talked mainly about ServiceTitan, because it's a huge win for us and one that we hadn't really contemplated we could do when we acquired 2600Hz, because obviously with ServiceTitan they'd been on a CPaaS solution and they moved off of it at scale over to 2600Hz. So the fact that we have those kind of opportunities as well is pretty exciting. But what I didn't get into my script is, we also had a couple of other smaller wins on the 2600Hz platform in the quarter, including one in Europe, which was great to see, as we do a little bit more over there with the platform. There's some real uniqueness to our solution in this space. One is, it's a very modern design with over 300 APIs, which customers can use, to really craft the platform into whatever they want it to be. Now if they just want it turnkey, we can do that too. And we're moving Ooma solutions onto the 2600Hz platform, so that customers who want just to check a box and go have the best out there. But gosh, the API design of the platform creates great flexibility. And then also, we are very flexible in our delivery model. We will host it for the customer, but we'll also let the customer host it themselves in their own data centers, and get as much or as little services from us in doing that. So, we think we have a great solution for what is a quite significant market. And I think it's fair to say that just about every carrier you can think of, has something they're doing in their business model that is built off of one of BroadSoft, BroadWorks or Metaswitch. And so, I think it's just a matter of time, before a lot of change happens in this industry. I will say that, when you land a new customer in this space. It can take several months, maybe even six months or more for them to craft the solution they wanted, get it launched and start to do any customer conversions they want to do or what have you. But we have people talking to us today about the solution on just about every platform that's out there - and historically out there. And we're excited that there's that level of interest. We are leaning in. We've increased some sales resources of late in that part of our business, because it's just a massive market opportunity.
Josh Nichols: Thanks. And then last question from me, you mentioned in your comments and then in the release about you're seeing some increased operating leverage. And then last quarter, I did notice you took up your medium term EBITDA margin targets. Based on the implied outlook for 4Q, you should be 9% plus EBITDA margin. I know you're not giving formal guidance, but fair to assume that you could potentially get to 10% plus maybe or something like that for the full year, based on what you're seeing in business and some of the comments you've already made?
Shig Hamamatsu: Yes, Josh, thanks for the question. So directionally correct if you take a midpoint of our, let's say non-GAAP net income guidance and sort of back into the EBITDA, the midpoint would give you about 9.2% EBITDA margin in Q4. And so if you think about progression we made this year, Q1, we were 8%, 8.0% EBITDA margin, Q1 last quarter we just reported Q3, we just 8.8% rounds to 9%. And then we're going to see more, further improvement in Q4, like I said at midpoint, 9.2%. So in relation to the midterm model that you're referring to, which is the back of our investor deck that we publish every quarter, we think we're progressing pretty good and on the path to get into a double-digit EBITDA margin next year. Obviously we're not ready to talk about guidance next year, but I think we're making pretty good improvement, as Eric said, showing some operating leverage.
Eric Stang: Yes, and I would add, Josh, without getting into guidance, it's important to remember just how profitable this business is. We have 70 plus percent recurring margins, and a very stable revenue base. And that throws off the better part of $200 million in gross profit, maybe $170 million, something like that. We do invest a lot of that back in development and growth. But frankly, we've made great strides over the last three or four years creating several areas to the company where we have, what we believe is the leading solution in the market today. And now it's more a matter of exploiting them for growth. I don't feel like we need to invest in all areas, at the level we have in the past. And honestly, at these gross margin, gross profit levels, we could be extremely profitable if we chose to go that far. So it's really a matter of driving leverage, as we go forward to be on a continuous train here, of improving bottom line performance.
Josh Nichols: Thanks for the context. Appreciate it. I'll hop back in the queue.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Mike Latimore with Northland Capital Markets. Your line is open.
Mike Latimore: Great, thanks. Yes, congrats on the strong cash flow and new wins here. Just want to clarify, on AirDial in the second quarter, you said AirDial had a record bookings. Is it fair to say in third quarter you had higher bookings in the second quarter?
Eric Stang: We did, yes.
Mike Latimore: Okay. Got it. And then you talked about obviously, this improving margin dynamic. Does that assume that the revenue growth rate kind of remains where it is, sort of implied in the fourth quarter. Or does that assume some improvement in the revenue growth rate?
Shig Hamamatsu: Yes. So in the context of this fiscal year and Q4 guidance we gave Mike that the, I think you can take away that based on my revenue guidance range for Q4, the year-over-year growth is about 5% at the midpoint. And what we are seeing, though, we were seeing the more leverage in R&D in particular, directionally speaking, the absolute dollars on R&D to be down sequentially in Q4. So that's the other part that's giving us more leverage. And also the overall gross margin too that - to the extent that we anticipate a little bit less - product revenue into Q4, versus Q3, so that helps the overall margin a little bit versus Q3. So these are a couple of places that gives us the incremental edge, to improve on the profitability in Q4.
Mike Latimore: Yes. Okay. And then just on the, you said that there's a little more churn in the fourth quarter for IWG. Is it pretty definitive that that will be the end of this enhanced churn, or is there something that could kind of go into '26?
Eric Stang: I think that there could be more churn as we look forward. It's hard to say how much we don't think it's fundamental to our outlook. We work very closely with them, and we're able to help them streamline and optimize including, which of their customers get phone service and which don't. And we're always doing that with them to frankly support them fully. So there could be some. We also have ads. We have quite a number of new centers open every quarter. Sometimes it can be, 25 to 50 new centers in a quarter opening. So it's hard to forecast exactly. But I think it's something that could be with us, also into next year.
Mike Latimore: All right, great. Thank you.
Eric Stang: You bet.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Eric Martinuzzi with Lake Street Capital Markets. Your line is open.
Eric Martinuzzi: Yes, I wanted to pick apart the Q4 revenue guide just one layer further. Is there - can you quantify the impact of the IWG runoff? In other words, the midpoint guide is 5.1% organic growth. What would that be in the absence of or adjusted for IWG?
Shig Hamamatsu: Yes, I mean, I'm not going to be too specific about it, Eric. I appreciate the question. It wouldn't be that huge, because it happened in the middle of Q3. So half of the, the impact was already realized in Q3, so we got full quarter effect, another month and a half or so impact in Q4. So it's not as large as you think. To answer your question specific to that impact of IWG churn. But I guess and to your point, there's a little more churn than we're expecting in Q4. The residual of what we thought, but it's not that big of an impact.
Eric Stang: You might recall too that, we talked very early this fiscal year about churn at IWG, and then it didn't happen for a while. And some of what we're talking about now, is what we already talked about earlier in the year, and just got pushed out.
Shig Hamamatsu: Yes, and Eric just to remind you context too, that IWG itself we talked about being, low-single-digit percentage revenue in relation to our total revenue. And you're realizing churn off of that relatively small concentration. So that gives you another context of the impact of it too.
Eric Martinuzzi: Okay. All right. And then the disruption delay. Congratulations on the Frontier actually being able to name the customer. You did talk about, with the acquisition by Verizon, we do have this disruption delay. How long versus what was the prior expectation, and what do you guys kind of spitballing as the potential delay here, in the ramp up with the Frontier relationship?
Eric Stang: Yes, it's interesting. When that announcement came out in early September, Frontier was telling us they still wanted to go and move forward now. And it wasn't until close to the end of Q3, that I think that there are a lot of programs in Frontier that are kind of getting just thought about. And ours is, this is just one of many that are getting thought about. We continue to have discussions with them. They continue to think about what they want to do. There's some reasons why they might want to move sooner. There's some reasons why they might want to wait until they can do planning with Verizon. You can hand cap as well as I can probably when they might be able to start their planning with Verizon. But I can tell you that they have a lot, now that I can see who they are. They have hundreds of thousands of residential customers, with phone service only that need to be replaced. And that problem is not going away. And we went through an RFP process and a lot with them over 18 months, to get to where we are. So, we still remain pretty excited about, where this could go. And actually being able to be involved with Verizon in this matter as well, is quite exciting for us. Because to our knowledge to-date, Verizon has not really determined a solution on their end for what they will do, about stranded residential phone lines, where the POTS lines are going away or going up in price. So, I think it's unfortunate, obviously like to move forward starting kind of now, but I don't think it's going to affect us that much also because the other win I talked about today. The national top tier cable company, this is a big win for us. If I was to make a very short list of the most important partners I'd like to win, they'd be on it. And they are strong with a lot of enterprises. They're strong in government and federal and state and local. I think they, I mean I can't say for sure, but I think they have customers even now that are asking for solutions, and they want to move fast to provide them. So, we have a new partner in hand here who wants to launch as soon as possible. And so that can, we can work that a little bit while we, while Frontier figures out what it's going to do. Also, these things do take a long time to gestate, and I wouldn't give guidance that we expect more partnerships to happen, if we didn't have things that we were talking about and doing. And if you think about the 10 million plus business copper lines in the U.S., and all needing to be replaced over the next three or four years, that's a big nut to go crack. I read just recently where AT&T in a conference call, or something says they're going to completely subset all their copper lines now by 2029. That's not a lot of time. So, we think we've got, I think we're winning the big ones. And with that we're demonstrating we can win, substantially here with these partners. So that's maybe more than what you just asked, but that's the way I see it in the bigger context.
Eric Martinuzzi: Well, it is. I appreciate the, added depth and certainly want to congratulate you on that win with the national top tier cable company, as well as the good results for the quarter and the outlook.
Eric Stang: Thank you.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Patrick Walravens with Citizens JMP. Your line is open.
Unidentified Analyst: Hi, thank you for taking my question. This is Nick on for Pat. Eric, what does the macro environment look like in regards to customer behavior and are there any implications post-election?
Eric Stang: That's a good question. So let me start with one angle and then I'll take a second. Q4, the quarter we're in now, is always the hardest one for us to predict. Because of the holidays involved during the quarter and small businesses being very busy during this time. That said, we see the market still strong and I don't know that the election has changed things, but certainly things have not gotten worse, let me put it that way. We think, we're serving very unique markets with AirDial and with 2600Hz and those markets are driven off their own dynamics. And then when you look at small business UCaaS with Ooma office, we feel we've got a unique position at serving small businesses with a type of solution that's different, from what others have and easier to adopt and use. And there's a vast small business market out there 6 million plus small businesses with 1 to 20 employees in North America to go after. So and a good portion of them have yet to move to the cloud. So, we just kind of keep doing our thing. But I'd say if anything, the marco-environment is similar or maybe a little better since the election. But Q4 always has us a little concerned about how it's going to go, and we're careful about forecasting for Q4, because of the holidays.
Unidentified Analyst: Thank you.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Arjun Bhatia with William Blair. Your line is open.
Unidentified Analyst: Hi, this is Chris on for Arjun and thanks for taking my question. I want to echo about some of the earlier congrats on a solid quarter. So it's good to see you're having some record cash flow coming in. And now with the debt completely paid off and behind you, are there any changes in terms of how we should think about capital allocation going forward?
Shig Hamamatsu: Yes, I appreciate the question, Chris. And one of the areas that we continue to look at is, being opportunistic about buyback. Eric talked about spending $5 million in the last, a year or so. And we want to be opportunistic in doing so prospectively. And we also are, as we said before, we also look at the customer base acquisitions we talked about in the past. So, to the extent that we are able to put a little more cash on the balance sheet at the same time buying, buyback the stock, it just gives us more resources to do so when we want to do so at the right price. And I think the other one is, we do think we're going to buy more, little more inventory going forward. It's obvious that when you look at our cash flow that we benefited from. Team did a great job of reducing inventory over the last 18 months, and that gave us a good cash flow from operations. And we - at some points, soon we need to build another batch of AirDial inventory. We talked about exciting opportunities for residential and so forth. So that's going to be another use of cash that we see, to grow our business.
Unidentified Analyst: Got it. Thank you. That's all very helpful color. And then, one other question in terms of the IWG trend. That largely being behind us, at least what you have anticipated throughout this year, kind of going into the fourth quarter. Do you expect to see NRR inflict up in the back half of fiscal '26 back to sort of the 100 level or above?
Shig Hamamatsu: Yes, it's - we're not ready to talk about Chris, the question around, I think you asking, do we see increase in the users for IWG coming back in the second half? I think that's what you're asking. Correct?
Unidentified Analyst: I was just talking about net retention. I think we saw it kind of pick up last quarter when you had lighter than expected of seat sharing from IWG. And so, I was just wondering as we move past the anticipated churn, if you were expecting to see, or as we lap at the churn that we saw this year, if you would expect net retention to inflect sort of back to that 100% level or…?
Shig Hamamatsu: Oh, I see. You're asking about the retention rate. Yes, thank you for clarification.
Unidentified Analyst: Yes.
Shig Hamamatsu: Yes. So I think a Q4, given the expected churn that I described, it may have a little impact from where we are 99% we just reported. And I think as we get into next year, we hope to see the stabilization there on retention rate. But in any case, I think there's a good momentum in AirDial and the other areas too to offset that retention rate in good ways too. So I think it's going to stabilize in a 98%, 99% range in the short-term.
Unidentified Analyst: Great. Thanks for taking my questions.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Matthew Harrigan with The Benchmark Company. Your line is open.
Matthew Harrigan: Thank you. As far as the two national cable companies who I'll refer to as Thing 1 or Thing 2, I'm not sure which one it is, but I have a suspicion, but as you know, they pretty much do everything in tandem, in terms of the technology roadmap and the product bouquet. I don't know whether you've ever been to the SCTE Cable Engineering Show, but it adds pretty much a bit of a, me too phenomenon. When they talk about their technology strategies. Are you already in discussions with whichever one you didn't do an arrangement with? And I assume at the very least it would accelerate the RFP process given the reciprocal confidence they would have in each other's due diligence process. And then secondly, I think on the last call you expressed fair confidence on double-digit EBITDA growth over the next couple of years. Are these deals kind of incremental to that, or was it already wired into a certain extent? And I'll follow everyone else and congratulate you on all the developments? Thanks.
Shig Hamamatsu: Yes, that's a good, the first part of the question, you ask a good question. But I can't really comment on who we're talking to or not about what, but I can say it's a long list and it's keeping us quite busy. And it's, the price increases we've seen on copper lines of late and the continued announcements about shutting them down, about places where they are getting shutdown, are just really fueling the market and the momentum I talked about. So we think we have the best solution in the space we could go through. Why here again, I won't but. And I think some of the wins we've had help demonstrate that. We are going to drive meaningful increase in EBITDA going forward, whatever happens on the partnership front, the partnerships can help us scale faster and get bigger faster, which we think they will. That'll be additive to our plans already on EBITDA. I kind of said it earlier in a lot of words, but we have a lot of gross profit dollars as a company and we need to leverage that into more bottom line as we go forward. And fortunately we've done the building to be in a position now to do that.
Matthew Harrigan: And presumably you're looking hard at Europe on AirDial as well, even though North America is the first priority.
Eric Stang: Yes, we are mindful of the potential for AirDial in Europe, and what the product would need to do differently in Europe and things like that. We don't have anything to announce on that front, but yes, this is an application that could go beyond North America.
Matthew Harrigan: But you'd have to do some retinkering on account of some of the electrical regulations over there presumably?
Eric Stang: The product would have to be a little different. There'd be a different modem in it, different bands, but that's all stuff that we've been thinking about for a while.
Matthew Harrigan: Thanks, Eric. Happy Holidays.
Eric Stang: Oh, thank you. You too.
Operator: Thank you. [Operator Instructions] Please stand by for our next question. Our next question comes from the line of Brian Kinstlinger with Alliance Global Partners. Your line is open.
Brian Kinstlinger: Hi, great. Thanks so much for taking my question. I know it's hard to predict, Eric. In terms of AirDial, you've announced several partners that sound very bullish. They own their own copper line, so they should be motivated. It even sounds like they're trying to move quickly in the first quarter, one of them. And then you talked about the recent press and the market heating up. So how should investors think about what this means in fiscal '26? Is it in terms of bookings, revenue, some measure of progress? I guess when do you think AirDial will be more impactful, catalyst the P&L?
Eric Stang: That's a fair question, Brian. And I think we'll know a lot more when we give annual guidance in early March next year, because some of these partnerships I've been talking about the last two quarters, will have a lot more time under them and we'll be seeing what rate they're moving at. The market's there and the market's going to happen. And so, I don't see a reason why we aren't going to play well in it, or do well with it. But there is a ramp up time to all of this. When these partners signs with us, they're going to be reselling the solution under their name with their billing. And so, there's coordination work to be done, there's sales force training to be done. Customers take time, they do proof of concepts, then they maybe roll out at a pace that works for them. And the bigger the customer, the longer it takes to get it all rolled out. So that's certainly true. But I think when we get to giving guidance in March, we'll be able to give you a much firmer picture on how we think that will work out next year, and what to expect when. I'm just not prepared to do it right now.
Brian Kinstlinger: Yes. But given your answer to the ramp, it's not going to be the first half of fiscal '26. It's more likely to be the second half. Is that right?
Eric Stang: It depends on what you mean by ramp. It depends on what you mean by ramp. I mean this top tier national cable company wants to launch in Q1, next year and I don't know what they have pent up for demand, but we'll see, we'll see. We'll take it step-by-step and, and obviously tell you everything we know as we know it.
Brian Kinstlinger: I'm sure we've asked this in the past, but for 100 lines on the Enterprise and for 10,000 lines on residential, what's the market opportunity for AirDial on a partner like that?
Eric Stang: You're talking about the second large partner I spoke about.
Brian Kinstlinger: You've engaged…?
Eric Stang: Yes, yes, fair enough. We also, by the way, won some smaller partners that don't even take time to mention here. So if a customer has that kind of opportunity, call it 100,000 lines on business, 10,000 residential. Every one of them, in theory is a potential opportunity, because every one of those needs to be addressed. In some cases, customers may just do without the line, or their equipment that works with it may get upgraded to a new solution. But when we look at numbers like that, we think a significant majority will ultimately convert to AirDial or to Telo. And so that's the way we see it. It could take three or four years to get all of them converted. But that's okay. We're 20 plus partners now, and if we keep adding them at the rate we're adding them, that kind of timing works fine. So, but yes, that's how we see it.
Brian Kinstlinger: But 100,000 lines equates. If they all converted, there's no loss of lines. For example, 100,000 lines on a rough basis adds what kind of revenue?
Eric Stang: Oh, well, now I have to be careful. We suggest to you as investors to model AirDial at about $300 in revenue a year to us in recurring revenue, that's about $25 a month. So you can multiply that out. I can't share what the pricing is for that partner or other partners. And by the way, the partner pricing can vary a little bit depending on whether we're providing the cellular connection or the partners doing it. But the margins are strong regardless. And as I said, we think a majority to a significant majority of these lines when we give these numbers are ultimately going to convert for us.
Brian Kinstlinger: Great, thank you.
Eric Stang: You bet.
Operator: Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to management for closing remarks.
Eric Stang: We appreciate everyone's attendance today. Thank you. We'll keep working hard here and look forward to the next time we can talk. And if not before the holidays. Happy Holidays to everyone. Thank you. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.